Operator: Good day, ladies and gentlemen, and welcome to the VimpelCom Second Quarter 2014 Investor Analyst Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Gerbrand Nijman. Sir, you may begin.
Gerbrand Nijman: Thank you. Good afternoon, ladies and gentlemen, and welcome to VimpelCom's analyst and investor conference call to discuss our second quarter 2014 results. I'm joined here in Amsterdam by Jo Lunder, our CEO; and Andrew Davies, our CFO. After our presentation we will happy to take your questions. Before getting started, I would like to remind everyone that forward-looking statements made on this conference call involve certain risks and uncertainties. These statements relate, in part, to the company's expectation to close and derive benefits from the Algeria transaction, anticipated interest cost savings, its 2014 annual targets, its operational and network development plans and anticipated benefits from network investment. Certain factors may cause actual results to differ materially from those contained in the forward-looking statements, including the risks detailed in the company's Annual Report on Form 20-F and other recent public filings made by the company with the SEC, including the accompanying earnings release. The earnings release and earnings presentation, each of which includes reconciliations of non-GAAP financial measures presented on this conference call can be downloaded from the VimpelCom website. At this time, I would like to turn the call over to Jo Lunder.
Jo Lunder: Thank you, Gerbrand, and a warm welcome from me as well. Our results in the second quarter were negatively impacted by four main factors. First, our operational performance in Russia, Ukraine, and Pakistan; second, the macroeconomic situation in Russia and Ukraine; third, the rolling effect from the intense price competition in Italy last year; and fourth, Algeria where our competitors launched 3G some six months earlier than we did. The impact of these factors on our organic year-over-year results were partially compensated by continued double-digit growth in mobile data revenue across our businesses. However, in the quarter the Group recorded an organic decline in service revenue of 5% to US$4.9 billion. We added 5 million mobile subscribers in the quarter reaching 221 million. EBITDA decreased organically by 9% to US$2.1 billion due to the decline in revenue together with higher infrastructure and distribution cost as we continue investing in high quality networks across our operations. Despite these challenges our EBITDA margin remained at a solid 41% reflecting our continued focus on operational excellence and cost control. Finally, we continued to generate resilient cash flows. Moving on to Slide 4, key recent developments, as we've disclosed in April we achieved a major milestone in Algeria with the announced agreement with the Algerian National Investment Fund, the FNI. This partnership provides us with a strong and stable shareholder structure in Algeria on which to build and strengthen our operation. We are on track to close the transaction by the end of this year. During April and July, we successfully refinanced WIND debt resulting in substantial interest savings and improved capital structure and enhanced maturity profile, all of which will facilitate our deleveraging trajectory. Also, in July, we successfully launched 3G services in two our largest markets, Algeria and Pakistan. This will strengthen our value proposition to our customers in both of these important growing markets and support continued mobile data growth. We also further strengthened our management team with several notable appointments. Rene Schuster from Telefonica Germany has joined us as our Group Chief Operating Officer. Peter Chernyshov as CEO of KYIVSTAR in Ukraine. We have also appointed Jeffrey Hedberg, CEO of Mobilink in Pakistan. And I would like to add a fourth appointment Sergey Rumansaf (ph) which is going to head all our distribution activities in Russia. In addition to this, on our Shareholders Meeting we elected a new Supervisory Board on July 28, which includes two new members Sir Julian Horn-Smith and Trond Ø Westlie. Lastly today, we confirmed our 2014 targets, which Andrew address in more detail. Moving on to Slide 5. We expect our recent deal in Algeria and the refinancing of WIND debt to deliver significant interest savings going forward, and this will enhance our earnings profile in the future. We completed the second step of the refinancing of WIND in July, an important transaction debt, in combination with the refinancing we completed back in April, will result in approximately US$0.4 billion in annual interest savings. In Algeria, once the transaction has been completed this will generated US$4 billion in net proceeds to VimpelCom. As you know, we intend to use these proceeds to repay existing debt enabling us to reduce our annual interest expense by approximately US$0.3 billion. These two actions combined will generate annualized net income accretion of US$0.5 billion from 2015 onwards. And for this year alone the benefit will be more than US$200 million. I will now move on to discussing the business units performance, starting with Russia, on Slide 7. As we expected our second quarter operational results in Russia were pressurized on year-over-year basis by actions that we have taken to strengthen the business in line with our strategy. Mobile service revenue declined 5% effective by the measures taken to reduce unrequested services from content providers to Beeline customers, which improved long-term capital experience and will be a future benefit to churn. Mobile data revenue growth remained strong increasing 17% over the year. EBITDA decreased by 10% due to lower revenue, together with higher network and IT cost, as result our increase demand driven investment, as well as in increase in HR cost due to the expansion in all monobrand stores. Consequently, EBITDA margin declined to 41.4%. CapEx grew 22% year-over-year due to the increased investments in 3G and 4G to capture growth in the mobile data traffic. We will continue to invest more in our high-speed data networks in 2014. And for the full year, we expect CapEx to revenue to be at 22% in Russia. Moving to Slide 8. We have accelerated the rollout of 3G and 4G networks and we have now connected almost all our base stations via IP. Today, we offer 4G services in 22 regions, which is above our previously communicated target of 20 regions by the end of December. As a result of the investments in improved quality of our network, we are now number one or number two in mobile data speed in 75% of the country. And in Moscow, we are number one, in voice quality, and number two, in mobile data speed. In addition to focusing on network quality we are also focusing on our commercial proposition with affordable smartphones, attractive and transparent bundles, and convenient and innovative data offerings. And as you can see on Slide 9, our actions to improve customer experience in Russia resulted in positive development in the second quarter compared to the first. So when we compare quarter-on-quarter service revenue increased 4% and we added 1.3 million customers in the quarter, with a substantially lower proportion of migrants than we had last year. The GAAP in Net Promoter Score, which is a measurement for customer satisfaction against competitors, has been reduced, mainly as a result of improved transparency on tariffs, network quality, and the services provided. This resulted also in the churn being at its lowest level for more than three years. And finally, the investments in high-speed data networks and distribution also resulted in an improved market position in mobile data compared to the previous quarters. As we previously discussed, the Russian business units is in the second phase of its transformation program. We have to take a long-term view. We are building high quality networks and a customer-centric organization focused on customer excellence. And I'm confident that we are doing the right thing and that we are on track to implement the necessary changes. That being said, we expect that the pressure on results on a year-over-year basis will continue for the remainder of the year, but with an improving trend in the fourth quarter of this year. Now, moving to Italy. Slide 10. The environment remains weak in Italy. But WIND continued to outperform the market, increasing our market share focusing on customer excellence instead of pricing. We are seeing some signs of stabilization in the competitive environment. As a result, gross additions in the market declined materially in the second quarter, leading to a positive reduction in churn to its lowest level in two years. Service revenues declined 10%, driven by primarily the competitive pricing pressure in 2013, and a further contraction of SMS revenue this quarter. However, mobile data revenue was up 18%. Despite the top-line pressure, EBITDA margin improved to 38% as a result of strong focus and operational excellence and also good cost management and cost reduction activities. In the second quarter, we continued to expand our network capacity and our investments in 4G. And we plan now to reach more than 30% population coverage by the end of this year. Overall, we expect the market in Italy to remain challenging but also here with an improving trend in the second half of the year. On Slide 11, the Africa & Asia business unit, the revenues in U.S. dollars decreased 4% organically year-over-year driven by a slowdown in Algeria and Pakistan. On the positive side, the mobile customer base grew by 5 million supported by strong additions in Bangladesh and solid growth in Algeria and Pakistan. EBITDA declined organically 11% due to the reduction in revenues and increased cost related to significant network investments. However, our EBITDA margin was solid at 44.6%, and there is a sharp increase in CapEx resulting from rollout of 3G in Algeria, Bangladesh, and Pakistan consistent with our dedication to now upgrading our network to the highest standards. On Slide 12 we can have a brief look at Algeria. Djezzy maintained its leadership position, despite a 6% decrease in revenue in local currencies. As the competitors already launched 3G in January approximately six months earlier than we did, our customer base grew 4% to 7.5 million; EBITDA margin declined but remained strong at 54.5%. We have been able to rollout 3G in the first half of the year. Across the country we launched services in July in seven main provinces covering 40% of the market. Given our attractive 3G services to which already more than 100,000 customers subscribed in the first month of launch, we expect to stabilize our leading market position in the second half of this year. We plan to offer 3G in 19 provinces by the end of this year and to have national coverage at the end of next year. Despite the difficult environment in which we have been operating for the last years we have been able to provide good customer service and we remain the preferred choice for Algerians. In Bangladesh, Slide 13, we have successfully turned the business around and mobile service revenue increased 8% in the second quarter mostly driven by a strong 10% growth in customers to almost 30 million. EBITDA also increased 12% due to higher revenues and effective cost control. Following the launch of 3G services in October last year, we now cover all 64 regions. We offer attractive bundles and smartphones and with smartphone penetration currently at 2% there is a high growth potential for mobile data in Bangladesh. We also experienced growth from mobile financial services that includes mobile money transfers and payments. We expect also this to be an important growth driver in the future. Pakistan, Slide 14, revenues declined 8% in local currency and EBITDA fell 16% impacted by higher customer acquisition cost as a result of a 4% increase in the customer base to almost 39 million. Although the market remains challenging from a political and macroeconomic point of view, our main problem in Pakistan is our underperformance. This is due to the delay in network modernization as a result of a reconfiguration following the sharp increase in market demand. We will continue to invest in our high speed data network in addition to completing the network modernization which should be finished by the first quarter of 2015. This will provide us with sufficient capacity in the network and improve our capability to offer attractive bundles. We recently appointed Jeffrey Hedberg as CEO of this business unit. He has a very strong operational telecom experience significantly in emerging markets. We also replaced the CTO in Pakistan earlier in this year. Slide 15, Ukraine, we continue to execute on our transformation program in what remains a difficult market. As a consequence of the transformation we focus on customer experience. We improved our Net Promoter Score and we reduced our churn. Mobile service revenue declined 4% year-over-year mainly due to lower voice and value added services revenue forced by a more conservative spending behavior by consumers. Mobile data revenue demonstrated continued growth with 11% increase, despite the lack of 3G in Ukraine. EBITDA decreased 12% primarily due to lower revenue, the doubling of frequency fees, and higher utility cost. EBITDA margin remained higher at more than 44.5%. All in all Ukraine continued to deliver a resilient cash flow facilitating a regular upstream of dividend to the Group. Considering the environment we expect the market to remain challenging at least for the remainder of this year. Now turning to Slide 16 and the solid results of the CIS business units. Revenue and EBITDA both grew 5% on an organic basis resulting in a strong EBITDA margin of 49.8%. The mobile customer base grew 6% year-over-year and CapEx declined substantially. I'll discuss Kazakhstan separately on the next slide, but first let me say a few words about Uzbekistan. Mobile service revenue increased 7%, driven by a 2% growth in the subscriber base. As you know, Uzbekistan is currently a two-player market but we expect they will return to a three-player market in the last quarter of this year. On Slide 17, you can see Kazakhstan and Beeline's continued successful turnaround and improved market position against its main peers despite the highly competitive market. The turnaround that is led by our new CEO an appointment we did 15 months ago used to be the Chief Commercial Officer of KYIVSTAR in Ukraine. This turnaround has been achieved through the introduction of bundled tariff plan with the best value proposition. We have improved the network quality and we have also built a very effective distribution strategy, coupled with a very good cost control of the business. We have also enhanced the 3G coverage and we now cover 60% of the population. Service revenue increased 8% in the quarter and EBITDA grew 10% leading to an EBITDA margin of 48.7%. I think probably Kazakhstan is the best performing unit in our Group in the second quarter. I'll now pass the floor to Andrew to discuss the Group financial performance.
Andrew Davies: Thank you, Jo, and a welcome to all of you from me as well. So on Slide 19, almost half of the decline in reported revenue is related to unfavorable movements of the ruble, the Ukrainian hryvnia, and Kazakh tenge against the U.S. Dollar. In organic terms, revenue experienced a 6% year-on-year decline mainly due to underperformance and market slowdown in Russia, Ukraine, and Pakistan, continued market weakness in Italy, and the delayed 3G launch in Algeria, which Jo has already mentioned. EBITDA decreased organically by 9% year-on-year to US$2.1 billion principally due to higher infrastructure and distribution cost in Russia, increased frequency and utility costs in Ukraine and 3G investments in Algeria, Pakistan and Bangladesh. However, we maintained in industry leading EBITDA margin of 41% due to our strong focus on cost control through our various operational excellence programs. Second quarter EBIT decreased to US$938 million, with a revenue led EBITDA decline, being partially mitigated by reduced amortization of intangible assets associated with the WIND Telecom acquisition. Our high effective tax rate in the quarter was primarily the result of non-deductible interest expenses in Italy and deferred tax costs related to the refinancing of WIND. However, the underlying cash tax rate remains in the mid 30% range and showed a marginal year-on-year improvement as demonstrated with the lower taxes paid compared to the second quarter of last year. Cash flow remains resilient. The year-over-year decline in net cash from operating activities is a result of both the EBITDA decline and the cost of the WIND refinancing, partially mitigated by improved working capital movements on a year-on-year basis. The investments that we are making in our high-speed data networks to enable future revenue growth and the acquisition of a 3G license for US$300 million in Pakistan resulted in an increase year-on-year and the net cash used in investing activities. Finally, the increase in net cash from financing activities is the result of the use of credit facilities during the same quarter of this year. So moving on to Slide 21. Our funding and liquidity position remains extremely solid as the result of the nearly US$20 billion of financing transactions that we have completed so far in 2014. The maturity profile has substantially improved, due mainly to the refinancing of WIND at least that in April and July. And maturity schedule has presented to is pro forma for that second July element of the refinancing. In aggregate, this WIND Italy refinancing will lower annual interest payments by more than US$0.4 billion, and clearly improves the capital structure of the Group. Consequently, the average cost of debt, which was 7.1% in the second quarter already down substantially from 8.2% in the first quarter will decline further to approximately 6.5% once the full benefit of the refinancing flows through. Total gross debt was US$29 billion at the end of the second quarter, while net debt increased by 4% quarter-on-quarter to US$23.2 billion. Given that, our trailing 12 months EBITDA also reduced partially, our net debt to EBITDA ratio increased marginally to 2.6 times at the end of the second quarter. Gross debt to EBITDA was 3.3 times at the end of the quarter but will decline to 2.9 times after the debt repayment from a net proceeds from the Algeria deal. And as Jo has already noted, this will further reduce our annual interest cost by about US$0.3 billion. Finally, our balance of foreign exchange exposures in gross debt remains diversified across the Euro, Ruble and U.S. Dollar. Moving on to targets. Although, the first half of 2014 have constant currency, was slightly below our annual targets. We expect, as Jo has already mentioned, more favorable year-on-year comparatives to Russia and Italy in the second half of the year. Consequently, we still expect to be able to achieve our 2014 targets albeit with EBITDA decline at the higher end of the range. And with that, I will now turn the call back over to Jo.
Jo Lunder: Thank you, Andrew. Just one slide left now and then we will move to questions. Let me try to summarize what we said and in the way we see the business. We knew the second quarter would be challenging. And as you can see in our year-over-year comparisons, operational performance, and the macroeconomic environment in Russia, Ukraine, and Pakistan has not been easy. We have seen continued market weakness in Italy. And we have a delayed or an effect of a delayed 3G launch in Algeria. And these are really the main drivers and that pressure on our results. As you know, one of the key focus areas has been improving network quality and as part of that customer experience. And I think we are starting to see some encouraging improvements. I think the clearest indication of progress is the improvement of the Net Promoter Score, which is a measurement for how satisfied a customer is. But we see improvement in our Net Promoter Score in Russia, in Ukraine, and in Italy. And we also see a second sign where churn reduction in the same countries although. We remember we had the lowest churn number in Russia for three years, the lowest churn number in Italy, I think for three years. So these are early indicators that some of the investments that we're doing are helpful. And I think we can say that the transformation process in Russia and Ukraine is on track. And that we also as a result of our actions have strengthened our position in Italy, in Kazakhstan, in Bangladesh, and in the CIS during the first half of the year. And also in this quarter, as we have pointed out, we have accomplished two strategic goals with the resolution of Algeria and the refinancing of WIND. The interest savings will clearly enhance our earnings profile going forward. And on the heels of the resolution in Algeria, we successfully launched 3G in July and we did also the same in Pakistan. Both of which are attractive markets, particular in terms of mobile data potential going forward. I also want to highlight the fact that we continue to generate strong cash flow from operations. Right now we are investing a lot of the money into high-speed data network because we believe this is the right strategy and it will benefit from future mobile data growth. And I think also sort of the last building block in our transformation program is that we have continued to strengthen our management team by bringing in really senior people with new leaders in Ukraine and Pakistan and also Head of Distribution in Russia, as well as a very senior appointment of Rene Schuster as our Group Chief Operating Officer. And I think we remain very focused. We believe that we are doing the right thing. And we believe that what we are doing now is going to yield improved results going forward. And with that, I suggest to open the floor for questions. And I will hand back to you, operator.
Operator: Thank you. (Operator Instructions). Our first question comes from the line of Olga Bystrova of Credit Suisse. Your line is open.
Olga Bystrova - Credit Suisse: Hi. Thank you very much for taking my question. I have two, one on Russia, you've been -- you've started gaining subscribers back, I just was wondering what kind of profile, what the subscriber profile you have on the network now in terms of new subscribers in the second quarter, mainly whether they are temporary sort of low-end users, data users, et cetera. And the second question is on the Italian market, given that German deal was approved with certain regulatory ranges, I was wondering whether how you look at Italian consolidation scenario within that framework in terms of potential ranges that could be introduced there and whether it has continued to be an attractive scenario for you. Thank you very much.
Jo Lunder: Thank you, Olga. I will try to help you on Russia, and then, Andrew can give an update on Italy. I think there is one important aspect of the subscriber growth quarter-on-quarter basis that we should be mindful about. And that is, remember that Beeline has always had a strong second quarter because we have had a strong position in the migrant segment. This year, there are substantially less migrants coming into our share compared to last year, for example? So it's between 400,000 and 500,000 less migrants this year compared to last year. So when we look at the subscriber growth we have, we are quite hopeful that that this is a trend that is more than just strengthening that the position in the migrant segment is actually good quality customers, it's data users that are coming back to us, and that we win back. But we will see that in future revenue streams but it's clearly not driven by migrants as we've seen in early years. It's driven by a real dynamic. But I guess it's too early to call it a trend. And then I think Andrew can talk about Italy.
Andrew Davies: Yes, thank you, Jo. So as we've stated few times before we are generally in favor of end market consolidation, but we've also equally frequently stated that we're not going to comment on speculation or market rumors. WIND is a strategic asset in our portfolio as evidenced by all the hard work we've done in the first six months of this year on the refinancing, enabled in part by an equity contribution et cetera. The asset continues to deliver strong operational performance in the market, continues to take market share, has a high quality management team, has good access to spectrum, and has got a stabilizing market environment.
Olga Bystrova - Credit Suisse: Okay. Well thank you very much. Can I may be just ask a quick follow-up on Italy. Actually whether you and Lao will not be participating on consolidation, I guess my question was more conceptual, given regulatory requirements that you regulators have imposed within the consolidation scenarios. Whether you think these are acceptable for a consolidation scenario in your end market including Italy, or they will say they make it contributions later, what's the practice in other words?
Jo Lunder: Yes, okay, I will give a little more color to my previous answer. So yes, we remain generally in favor of end market consolidation and the various remedies that we've seen in the recent approvals should not preclude an end market consolidation. End market consolidation still be worth it regardless of those particular remedies.
Operator: Our next question comes from the line of JP Davids of Barclays. Your line is open.
JP Davids - Barclays: Yes, hi, thank you. Good afternoon. Two questions please from my side. The first one is on Algeria. Clearly I think it's in an important phase launching 3G and so on. Can you talk about the level of support you're giving it from a VimpelCom Group level i.e. around best practice and so on to your last and win the 3G battle? And then a separate question on networks across the Group. Clearly Pakistan haven't gone particularly well in terms of network constraint today and given your focus on network quality and customer centric focus, can we assume this is going to be an isolated case across the Group and the rest of the network assets are running at a good level without congestion. Thank you.
Jo Lunder: Yes, thank you two very good questions I think. I will talk a bit about Algeria and then I think Andrew has studied this situation in Pakistan so thoroughly that he can give a better insight on that. Clearly Algeria is important to us and the timing of the deal was also important because I think and this is my judgment, I think actually that we were right in time, we were not too late. I think that even though we launched six to seven months after our main competitors in Algeria, we will be in time to stabilize our leading position there and continue to be a very attractive proposition to our customers. And as I said national coverage by the end of next year, and improved coverage by the end of this year, and it was actually people queuing up in July outside our offices to subscribe to the 3G services. So clearly Djezzy has for different reasons a very strong position in Algeria. And that's why I also asked our -- one of our best people actually our Group CTO or previous Group CTO before Yogesh Malik joined as Group CTO. The previous one Philip Tohme that had a long background in Orascom that joined us during the transaction. He used to be Group CTO, here in Amsterdam, left for Algeria, and is now the CEO in Algeria. The reason being of course that the main focus right now is to get this 3G rollouts done the right way. And I think we're in safe hands under his leadership. And I will add some more may be not a more anecdotic -- anecdotical comments may be but today the national stiff is in Algeria, he is there with Mikhail Gerchuk our Chief Commercial Officer Group; with our Group CTO, Yogesh Malik; and having an operational review meeting together with Vincenzo that is the Chairman and the CEO of GTH. So there is a very, very close link right now between Amsterdam, Philip, Algeria with a very high focus on getting this rollout done the right way and making sure that we close the gap as soon as we can and start growing with the market again. So it's a big challenge but I think we're up to it.
Andrew Davies: Yes, thank you, Jo. So moving on to the second part of the question related to Pakistan. So the short answer would be yes, we're confident that this will be an isolated circumstance. I'm being candid what's happened is that the market has become a lot more price competitive in the last 12 to 15 months and there is a natural amount of high elasticity in terms of usage to price quotient in Pakistan and the price competition has been such that it's generated additional traffic that was beyond our initial projections, which is why we're having to, in this particular instance, slightly weakened figure, the network modernization program but this will be very much an isolated incident.
Operator: Our next question comes from the line of Herve Drouet of HSBC Bank. Your line is open.
Herve Drouet - HSBC Bank: Yes, good afternoon. Two question as well on my side. The first one is you've kept your guidance for the full year. So you anticipate some improvements in the second half compared to the first half. And you mentioned Russia and Italy where you will expect to do that these have some better numbers. On the Algeria, I noticed that you did not mention Algeria. What will that mean that you will still expect a momentum to come back on Algeria a bit late, may be after, more in 2015. Is it related to the finalization as well of the deal with the Algerian Government where you feel there may be still some constrain so I will be happy if you can share some light on that? And my second question is on the margins. I mean, we've seen as well some pressure in some countries on margins and again compared with the guidance they may look like it's where margins may be is more under pressure, again some of the rebound on the margins into the second half, where do you think there is more room for some rebound and in which operation? Thank you.
Andrew Davies: Okay. Thank you. So I think I will take both of these questions. So I think when we talk about conserving guidance or targets for the full year, we specifically mentioned Russia and Italy, only because there is so much material to the overall Group results than any other operations that we have. There is nothing particularly special about them apart from just we did see materiality. I think Algeria, as Jo mentioned earlier, we do expect to see stabilizing market share in the second half of the year, and we expect to see relative stabilization compared to the first half of the year in terms of financial performance as well. And then as I look across the rest of the group in answering the second part of the question, we see the benefits of operational expense programs feeding through into most of our operations margins profile. The only one that's probably going to -- I don't want to be overly specific here, but the only operation where I think we will see margin comparatives in the second half of the year being in line, if not even slightly worse than the first half of the year is in the Ukraine, where you're going to see a full six months impact in the second half of the year of the increased license fees, and the increased utility costs et cetera they just had a quarters worth of impact in the first half of the year.
Herve Drouet - HSBC Bank: All right. And will that mean you will anticipate some margin improvement in second half on most of other the operations you're operating?
Jo Lunder: Broadly speaking, yes.
Operator: Thank you. Our next question comes from the line of Alex Balakhnin from Goldman Sachs. Your line is open.
Alex Balakhnin - Goldman Sachs: Yes, good afternoon. I have two questions. One is on Italy and again on the consolidation. You mentioned previously that your logics and strategy initiative will be informed by the logics of the shareholder value and liquidation. And do you see a scenario in which, what I mean, you described quite well that throughout these operations and they are strategic for you but is there any scenario where you see a better potential for the shareholder value creation through the consolidation. And if so what is such a scenario? And my second question is I'm just trying to frame the EBITDA margin dynamics in Russia with the revenue dynamics and your rollout of monobrand in the country. Should we expect a substantial pressure on margins given the decrease in leverage or you see the potential for first time cost cutting and if so where are those areas for further cost cutting if you could share. Thank you.
Andrew Davies: Okay. Thanks, Alex. I think I will take these questions again. So as we previously stated we're not going to comment on market rumor and speculation and I'm not going to engage in multi-variant type positive analysis on an earnings call. We do remain generally in favor of end market consolidation and that's where I will leave it for now. With regard to Russian margins, we have a very well developed operational excellence program, which is focusing very hard on all elements of cost and asset efficiency within the country. I'm deeply involved in that as the Group CFO and which is specifically with regard to monobrand stores. I mean, we've basically completed the rollout of monobrand by the end of 2013. So we have not really rolled out any new stores in 2014. And again, from a year-on-year comparison perspective that will actually help our margin profile as we get into the second half of the year, because you're going to get a bigger benefit year-on-year of having more control over direct distribution, which generally tends to be more efficient than indirect distribution.
Alex Balakhnin - Goldman Sachs: And then, may I just quickly follow-up on the last point, one last question with regard to the margin dynamics. So you mentioned that there are excellence program and that sort of things. But in which areas do you see there is a greatest potential for the cost optimization as we speak now?
Andrew Davies: I think there is potentially in many areas candidly. A lot of it will be, if you wanted a theme I will talk to you more about process improvements and becoming more efficient in how we serve customers, because -- and that will also help the customer experience. So you will see that impacting different cost components within the P&L but the overall launching theme is one of process streamlining and efficiency.
Operator: Thank you. Our next question comes from the line of Alex Kazbegi of Renaissance Capital. Your line is open.
Alex Kazbegi - Renaissance Capital: Yes. Hi. Good afternoon. And my first question would be on the voice revenues so to say trends. If you can maybe just discuss with us what do you see in may be three key markets. I mean first, just in Russia, do you see -- I mean, you're of course focused mostly on the marketing measures to stabilize your position there? Do there see again the reason why you would be working more to the pricing measures going forward, if you wish? Second market would be on probably may be a couple words on Italy, as well as the same -- in the same framework? And lastly, on the voice revenues also in Algeria, I mean there you saw also a consistent sort of say fall in the usage and maybe there is another reason for that of course. But it could be also that I don't know may be you were using the high-end users due to absence of the 3G. And do you see that again stabilizing on the voice revenue side or do you see again voice more being used as a kind of bate for people to sign up for 3G? So basically that's a broad question. But what's the strategies on the voice revenue preservation on the tariffs and pricing in these three key markets? And the second question would be just also on the margin side on Algeria, it was also coming down. Is that due to again increased marketing spend, which now you are kind of switching it on and is that new normal level, which you expect or was it some other reasons there as well? And if you could may be also just address margin in Ukraine? I mean, of course you mentioned about the utility and the taxes. But do they -- they don't fully explain of course the 350 basis point year-on-year reduction in margin partially also the revenues. But what is the size -- kind of consistent hit on the margin side from those increased fees is it 200 points or what should we -- how should we look at that? Thank you.
Jo Lunder: Okay. So I think that's the last question of the session. Time is going to take me to answer this last. Okay. So let's try and take it one-by-one of the 10 part question. So first of all, voice revenue dynamics. In Russia, we see average pricing reduce year-on-year in the high-single-digit percentage fall for same quarter, reasonably consistent with first quarter. So that is stimulating an uptick in average usage per customer. So it's up roughly 6% to 7% year-on-year for the quarter. And the main thing driving that is we have some legacy tariffs or pricing which will, at somewhat unsustainable premium to the market average. So as we've corrected that, we've seen a fall in average pricing and offset by an increase in usage. And we expect to see a little more of that in the second half of the year, it will be now quite to the same extent. In Italy, so in terms of voice, the headline rates in the market, if anything have, they certainly stabilized since about the September/October time period last year, if anything headline pricing is -- has actually increased since the start of the year. There is however, a year-on-year decline still in pricing, which is just simply caused by the prices -- the impact of last year's very intense price competition still seeding through into legacy parts of the customer base. The one thing I would say about Italy is that bill size, as they call it that, so the monthly approved per customer has stabilized quarter-on-quarter and is actually started growing marginally when you look at Q2 versus Q1. And then, I think the final question with regards to voice was on Algeria. And there yes, your hypothesis in your question was pretty accurate. It's a fact that we have lost some high value customers, of course, by the fact that we had this six month or so delay in the rollout of the 3G network. And as a result, we've lost a little bit of average MOU. When you look at it by customer cohort, usage is pretty compatible with data voice previously but it's just we've got a deteriorating cohort mix, if you like, caused by a lot of high value customers. When it comes to the margin questions, I think you asked about Algeria, and then about Ukraine. I think on with Algeria the main reason that we're seeing the margin compression year-on-year is simply to do with the 3G rollouts. So we've been rolling out pretty hard in the first half of the year. We just couldn't switch the network on until early July. So that's just caused a year-on-year increase in network costs and there is also a bit of an impact on license fees. And then, with regard to Ukraine, literally on almost all alone the margin compression year-on-year is due to the increase in the license fees. They have literally doubled year-on-year. And then, the increase in utility cost, and there is a little bit of an impact from foreign exchange, because some of their costs are dollar denominated and that's obviously cost them a little bit in terms of local currency. And so if I would strip those out, the margins would be almost stable year-on-year.
Alex Kazbegi - Renaissance Capital: Okay, clear. Can I just follow-up. I'm sorry there will be not be 15 more questions, but just one thing of Algeria.
Jo Lunder: Yes.
Alex Kazbegi - Renaissance Capital: So given again what's happened with the voice there. Do you see again, given again that you are now selling and will be selling aggressively probably the data? More pressure coming on the voice tariffs there on your sides, as I said there is a kind of bate for people to entice the new offers?
Jo Lunder: No -- so two things. First of all, we're going to be very rationale on pricing. We see, and not just in Algeria but we see pricing as being a strategic component and not a tactical thing which you change quarter-to-quarter because that certainly have the benefits of under scars of markets where you've done it, different may be in the past, in previous rows. You do also remember that Djezzy is the market leader; it has got clear run superiority in the marketplace. The 3G launch from 5th of July has been extremely successful without us having to result to either overly aggressive price campaigns or subsidizing of handsets, which our competitors engaged in the second quarter. So we think that we're going to be able to generate great 3G traffic and recapture our customers and stabilize market share without being overly aggressive in any kind of commercial proposition.
Operator: Our next question comes from the line of Igor Semenov of Deutsche Bank. Your line is open.
Igor Semenov - Deutsche Bank: Yes. Hi. Thank you very much. Can you talk a little bit about the competitive dynamics in the Russian six line segment, what is your sense? Where are you on -- in the corporate segment? And also, may be if you could talk a little bit about the -- base quarter reconcile the voice usage dynamics between yourselves and MegaFon, specifically MegaFon's voice is not growing, your voice usage is growing nicely. So may be any color you could provide on that that will be quite interesting? Thank you very much.
Jo Lunder: Okay, so I think I'll take the second one to start off with. So it's just more of what I said earlier I think it's our net pricing has reduced a little bit more year-on-year than maybe MegaFon has and that's just stimulating a greater uplift in usage per customer, I mean basically certainly when you look at our year-on-year growth for the quarter compared to MegaFon I mean there is a 10 percentage points, 11 percentage points divergence between our two trajectories. But there is no rocket science to it, it's just a function of us being a little more competitive and eliminating what was previously a long-term and supportable price premium. And on the question on fixed line revenues, I think, I will have Gerbrand so I will get back to you offline.
Operator: Our next question comes from the line of Ivan Kim of VTB Capital. Your line is open
Gerbrand Nijman: Yes this will be by the way the last question thank you and go ahead.
Ivan Kim - VTB Capital: Yes, good afternoon. Two quick questions on Russia. First on the churn reduction, which was very material on the quarter-on-quarter basis. Do you think its sustainable and do you think there will be more gains in the second half of the year and probably you can identify a couple of factors that were key to that reduction besides like networking, lessons, and all these things. And secondly we're talking about the migration of customers from our cash carriers in Russia. So do you feel that you have much more to do on that or you're mostly through the process and probably can give us an estimate of how longer it will take to migrate customers from our cash carriers? Thank you.
Jo Lunder: Yes, I think generally, I think we should and its actually good final question because I think we should be careful to conclude that a quarter with improved Net Promoter Score and historical low churn is necessarily a trend. I think in Russia we just need to be very thorough focused. And our belief in what we're doing and let's see how the churn number is going to continue to develop. Generally the churn level in Russia is very high compared to many other markets. And I think the whole market would benefit from lower churn level. I certainly hope that we will be able to drive churn down to lower levels and there is nothing right now that indicates that this is not continuing but as I said let's see that's as early signs of recovery and improvement on our sides and let's not account for it as a trend. And I think it's basically driven by the holistic approach we've now taken on our business in Russia, you said outside natural quality, but of course natural quality and natural quality perception is and will always be an important part of our share numbers and we see that improving 75% of the whole country, may be number one or two on data speed for example number and number one on voice in Moscow et cetera that's one thing. But also improved focus on high quality subscribers. We have of course revenue sharing arrangements with the dealers. So we don't incentivize them or pay them for just the washing machine effect. We pay them for finding the right customer for us. We also have an improved dealer monitoring program in place. We have the SIM recovery program. We have postpaids optimization and rollout campaigns going. We have customer based management activities ongoing. We have regional pilot and transfer of archived tariff plans to current. So there is a variety and of course also the communication package around this with simple convenient for use where we try and position ourselves as kind of customer friendly, we've taken off the press conference by SMS, which of course in this quarter represents 40% of the revenue decline year-on-year basis. These are self-imposed actions that we believe long-term is building a high quality subscriber base. And so I would be extremely disappointed actually if churn right now we're going up instead of down. So at least there are some logic in everything we do and operating indicators, we see coming out of it. But what we don't see is the financial improvement but hopefully that's also going to come. But let's have this as one quarter of early signs. Let's see how the second half of the year enrolls. And before we start talking about trends and migration, you asked about on the archive tariffs plan. I think Andrew has studied that so he might give you a good insight on that one.
Andrew Davies: Yes. Sure. Thank you. I just like to make one kind of comment you on the churn question, which is we do well to remember our definition of new customer, which is that we use a three-month active basis. So basically, meaning if anybody that churned in June as an example, would have been last active in March. So the fact that we've good churn performance in the quarter actually reflects things which were already happening in the first quarter. Can I go back to the question on pricing again? So clearly we've closed a lot of the gap with competitors in second quarter of this year. I mean, if you just did a simple comparison on average pricing for the second quarter of last year you would have seen our average price per minute being roughly 25% higher than that of MegaFon's. It's reduced, this quarter it's now only 10%. So clearly, we've corrected most of the archive tariffs. The other thing I would say is that in reality I don't think we got this still really 10%, because MegaFon actually had a slightly different customer definition than we do. And that definition, they actually use a six-month active subscriber base, which in simplistic terms would tend to depress price per minute. And then, I'd say it -- and -- it would distort both price per minute and average usage compared to us. So I think we largely through -- well, simply through the majority of it, we still got some to go, which we'll see through into the third and fourth quarters. But in terms of the year-on-year trajectory that you can expect to see that will start to improve in the second half of the year relative to the first half of year.
Jo Lunder: All right. I understand this is last question. Okay. I thank you everybody for taking the time. I think numbers are not as good as we want them to be. But I think it's more or less as expected frankly speaking. We have to take a long-term view now on the transition of VimpelCom and that the building blocks are enough investments, in high quality networks. And I think by the end of this year, we will have parity in most markets and a solid platform. We have to have the customer focus as the second building block and make sure that we are attractive and transparent in all our activities and relations to the customers. And I think also probably you will see VimpelCom going quite early on, on focusing on more digital touch points with customer and transition the business model more into a digital shape going forward, which will drive both hopefully the cost curve down and also at the same time increase satisfaction from customers in the way they can interact with us. And hopefully, what we're doing now is going to yield results going forward. But if you have any questions or more questions please contact Gerbrand and our Investor Relations team here in Amsterdam. The next earnings call is schedule for November 12. I think we will see many of you on Road Shows and conferences between now. And then -- and I am looking forward to that to discuss what we're doing more in detail. But hopefully, we were able to explain some of the thinking behind our actions and strategies today. And with that I suggest to close the call, and wish everybody a good day.